Operator: Good morning, ladies and gentlemen, and welcome to the Academy Sports and Outdoors Third Quarter Fiscal 2023 Results Conference Call. At this time, this call is being recorded. [Operator Instructions]
 I would now like to turn the call over to your host, Matt Hodges, Vice President of Investor Relations for Academy Sports and Outdoors. Matt, please go ahead. 
Matt Hodges: Good morning, everyone. Thank you for joining the Academy Sports and Outdoors third quarter 2023 financial results call. Participating on the call are Steve Lawrence, Chief Executive Officer; Carl Ford, Chief Financial Officer.
 As a reminder, statements in today's earnings release and the comments made by management during this call may be considered forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in the earnings release and in our SEC filings. The company undertakes no obligation to revise any forward-looking statements.
 Today's remarks also refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP measures are included in today's earnings release, which is available at investors.academy.com.
 I will now turn the call over to Steve Lawrence for his remarks. Steve? 
Steven Lawrence: Thanks, Matt. Good morning, and thank you for joining us on our third quarter earnings call. As you saw from the results we announced earlier this morning, we had a challenging quarter with sales coming in at $1.4 billion, which was down 6.4% in total and translated into a negative 8% comp. Based on these sales, adjusted earnings per share for the third quarter was $1.38.
 Now, one of the key themes we saw emerge in the first half of the year carried through into Q3. The customer is clearly under pressure and is being careful about when they decide to shop and how they want to spend their money. We've also seen a continuation of the trend with customers coming in during the key shopping moments on the calendar and then retreating during the lulls. Another key theme continues to be customers looking to expand their buying power by focusing on the value offerings in our assortment such as our private brand merchandise, the promotions that we run, or in clearance events that take place at the end of each season. Similar to prior quarters this year, we also continued to see customers gravity towards new and innovative brands and items in our stores and online.
 Breaking the quarter down by month, August sales were down mid-single digits. As we discussed on our Q2 call, we saw good momentum early in the month, driven by our back to school business. Once we got past Labor Day and into September, we saw a slowdown in sales that lasted the entire month, resulting in a low-double digit negative comp. We attribute the softness in September to the lack of a natural shopping event on the calendar, coupled with much warmer than average temperatures, which suppressed early sales on fall seasonal categories. This trend carried forward into early October, but we did see an uptick in sales later in the month that we believe was driven by a combination of some cooler temperatures, coupled with increased sales in our outdoor business. The end result was that we saw sales improvement versus the September trend, with October coming in at a negative mid-single digit comp.
 Looking at the results by division, our best performing business for Q3, sports and rec, which ran a 2.7% decrease. Declines in fitness and bikes were partially offset by continued strength in outdoor cooking and furniture, as well as our team sports business. Our outdoor division ran down 6.9% for the quarter. But as I mentioned earlier, we saw this business pick up towards the end of October as we approached hunting season, started to lap softer comps from last year. Our apparel and footwear businesses started out strong during back to school, but then tapered off as we moved into September. Apparel ran a 6.9% decrease for the quarter but slightly better than footwear, which was down 8.2%. We believe the primary driver of the soft business was caused by the above-average temperatures we experienced in September and early October, which tamped down demand for [indiscernible] items.
 Moving to gross margin, quarter came in at 34.5%, which was a 50 basis point erosion versus prior year. This was primarily driven by our merchandise margin coming in 49 basis points below last year. We believe that the warmer temperatures we experienced during the quarter resulted in softer sales versus last year in the high-margin fall seasonal products. Customers instead gravitated towards the lower-margin summer clearance, which mixed our margin down. Promotional activity for the quarter was in line with our expectations. And our gross margin rate through three quarters sits at 34.7%, which is above our annual guidance, continues to remain roughly 500 basis points above our pre-pandemic levels.
 Now, I'd like to give you a couple of updates on our progress against some of our long range plan initiatives, starting with new stores. During the third quarter, we opened 5 new stores with locations in Virginia, Indiana, Missouri and Texas. During November, we opened up our final 7 stores for the year, bringing our total to 14 for 2023. November openings represent the largest number of new stores that we've ever opened in a single month, with 5 on a single weekend. This is a huge accomplishment for our company, and I want to take a moment to recognize all of our team members that help make this possible. As we open new locations, we continue to gain insights into what factors ensure a successful launch of a new store or getting better with each grand opening. While the sample size is still small, as we analyze and learn more from our new store openings, what is becoming clearer is that stores open in legacy markets where we have a high brand awareness, as a group, are on track to meet or surpass [ their own ] sales targets.
 What has also started to become apparent is that stores open in newer markets outside our current footprint will need additional time and investment to build brand awareness and therefore will likely take longer to ramp sales maturity. After we get through this year, we'll have more data on the sales ramp of the stores that opened up in 2022, as well as additional data on traffic, ticket and conversion from both the '22 and the 2023 stores will be used to refine our expectations for future store openings. As we look forward, we're excited about the pipeline that we've identified. We'll have good guidance around the number of new stores that we plan to open in 2024 during our next earnings call.
 Another one of our growth initiatives is to accelerate the growth of our dot-com business. While this channel has faced the similar challenges that our brick and mortar customers feeling this year, we've made some meaningful advancements in the third quarter that we believe will help drive growth in the future. During last quarter's earnings call, we announced our new partnership with Fanatics. While it is early days, we've dramatically expanded our offering in NCAA with this partnership, offering over 2x the number of styles to our customers we started the quarter with just in time for the holiday gift giving season. We will continue to leverage their extensive catalog and add more SKUs as we start each league's new season. Over time, our online offerings [ will be ] significantly larger, allowing us to greatly expand our reach and [ help best ] service a much wider fan base.
 In addition to SKU growth, we've also been working hard on expanded functionality such as adding Sezzle, a new [ paying for ] option that supports additional categories such as hunting. As we head into the holidays, we believe with this expanded assortment and additional capabilities that we're well positioned to capture the surge in demand from all the key online shopping events, including Cyber Week and Green Monday.
 The third initiative that I'd like to update you on is our new customer data platform. During our last call, we discussed adding this new tool to our toolbox at the end of Q2. Q2. Team has spent the last quarter fine-tuning our customer segmentation work, along with developing playbooks to help drive greater traffic and increase spend from our various customer segments. We have 2 main focuses in our CDP work, improving customer identification and increasing engagement, both of which will help us build a deeper connection with our customers and drive incremental sales revenue. While we've just begun to leverage some of our new capabilities for this tool, our initial marketing tests have yielded promising results. First test was to grow our addressable customer file in order to help expand the reach of our various marketing channels. During Q3, we [ monitored ] a reactivation campaign that helped us increase the number of customers reaching with our emails by 25%.
 Another example of how we're leveraging our customer data platform, the small tests that we ran with a focus on increasing both frequency of shop and spend with a subset of our best customers. We sent targeted offers to this group, managed to drive an incremental trip at a higher basket size. What was exciting about this use case was that we saw continued growth with this group after the initial discount we offered [ at lapse ]. While we don't expect all the tests we're running to have a huge impact on core results, we do believe that we'll be able to start scaling these learnings and they will start moving the needle in 2024 and beyond.
 The final initiative I'll touch on is the work we're doing around improving our supply chain. The team has been working hard on getting ready to install and roll out our new warehouse management system, planning to go live with our Georgia DC in the spring of next year. This implementation is a key enabler of many of the supply chain efficiencies that we're anticipating in our long range plan as we continue to open new stores.
 Now, I'd like to turn it over to Carl Ford, our CFO, who will walk you through a deeper dive of our Q3 financial performance, along with an update for 2023 guidance. Carl? 
Earl Ford: Thank you, Steve. Good morning, everyone. We appreciate you joining the call. Let me walk you through the details of our third quarter results. Net sales were $1.4 billion, a 6.4% decline compared to the third quarter of 2022, with comparable sales of negative 8%. The decline in sales was driven by an 8.1% decline in transactions, partially offset by a slight increase in ticket size. Consistent with overall sales performance, we experienced pressure in our e-commerce channel. E-commerce sales represented 9.4% of total merchandise sales, compared to 9.5% in the prior year quarter.
 As Steve mentioned, our gross margin rate for the third quarter was 34.5%, compared to 35.0% last year. The margin decline was due to a 49 basis point decline in merchandise margins, driven by an increase in planned promotions and a higher mix of clearance sales. Higher overhead costs, lower vendor allowances and a slight increase in shrink were offset with freight savings. As a company, we continue to operate at substantially higher gross margin rates than pre-pandemic, demonstrating that the operational changes made to the business over the past few years are structural.
 During the quarter, SG&A expenses were $345.9 million or 24.7% of net sales, an increase of 170 basis points compared to the third quarter of 2022. As consumer demand remains challenging, we are focused on optimizing profitability through expense control and investing in our future. We reduced our variable operating expenses versus last year, while more than 100% of the increase in SG&A was driven by the investments we are making in areas that support our long-term growth initiatives such as new stores, omnichannel, supply chain and customer data.
 Net income for the quarter was $100 million or 7.2% of net sales, resulting in GAAP diluted earnings per share of $1.31. Adjusted diluted earnings per share were $1.38.
 Our balance sheet remains strong with $275 million in cash and no outstanding borrowings on our $1 billion credit facility at the end of the quarter. Our inventory balance was $1.49 billion, which was flat compared to last year in both dollars and units. On a per store basis, units declined 4%. Heading into the remainder of the holiday season, we believe that our current assortment and level of inventory is appropriate to support the business.
 During the third quarter, Academy generated $57.5 million in net cash from operating activities. This is a 13% increase compared to last year. We continue to execute our capital allocation strategy by self-funding our growth initiatives and returning cash to shareholders. During the quarter, we repurchased approximately 864,000 shares for $44 million and paid out $6.7 million in dividends. As of the end of the quarter, we had approximately $100 million available on the current share repurchase authorization. On November 29, 2023, the Board approved a dividend of $0.09 per share payable on January 10, 2024 to stockholders of record as of December 13, 2023.
 Demonstrating the commitment to our capital allocation strategy, the Board also approved a new 3-year $600 million share repurchase authorization. Together with our remaining $100 million, the company now has $700 million of share repurchase authorization available for the next 3 years. Year-to-date, the company has spent $152 million on capital expenditures. For the full year, we expect to spend between $175 million and $225 million.
 Shifting now to guidance. Based on our year-to-date results and current expectations for the fourth quarter, we are narrowing our fiscal 2023 net sales guidance from the previous range of $6.17 billion to $6.36 billion to $6.10 billion to $6.17 billion. This translates to a revised comparable sales range of negative 7.5% to negative 6.5%. Our full year gross margin rate is expected to finish between 34.0% to 34.2%. GAAP income before taxes is now expected to range from $670 million to $680 million and GAAP net income between $520 million and $530 million. GAAP diluted earnings per share are now expected to be $6.70 per share to $6.85 per share and adjusted diluted earnings per share are expected to range from $7.05 per share to $7.20 per share. We now expect to generate $300 million to $350 million of adjusted free cash flow in fiscal 2023. The earnings per share estimates are calculated on a share count of 77.3 million diluted weighted average shares outstanding for the full year and do not include any potential Q4 repurchase activity.
 As far as providing guidance beyond fiscal 2023, we plan to give fiscal 2024 guidance in March on our year-end call.
 I will now turn the call back over to Steve for some closing remarks. Steve? 
Steven Lawrence: As you can tell from our commentary today, the third quarter was challenging for us. That being said, we've seen the customer come out and shop during the key moments on the calendar, and there is no bigger moment than the upcoming holiday season. Team has been preparing for Q4 all year. And we're off to a solid start in November. As we expected, we saw traffic patterns return to a more normalized pre-pandemic pattern with less pull-forward of demand during the early part of the month. We put together a strong set of promotions for Thanksgiving week. We saw strong reaction from the customer, yielding one of our biggest Black Friday events ever.
 While we still have a lot of business ahead of us, success of our Thanksgiving promotion helped generate some momentum as we head into December. Looking forward into the remainder of holiday, we have a strong promotional cadence, supported by an aggressive marketing spend, which should help us deliver outstanding value to our customers.
 Our inventory is in the best position we've been in over the past 3 years with a focus on the key giftable categories, along with new brands and innovative items customers have been voting for all year. I've been in all 3 of our DCs and a lot of our stores over the past quarter, and I can tell you that teams are ready and excited for customers this Christmas.
 With that, we will now open it up for questions. 
Operator: [Operator Instructions] Our first question comes from Brian Nagel with Oppenheimer. 
Brian Nagel: My first question, looking at the results here over the last few quarters, maybe we talked about kind of the top line weakness. But recognizing you haven't given guidance for '24 and you plan to do so early next year, but I guess the question I have is, as we think about this comp trajectory and kind of the moving pieces, what are the puts and takes as you look at the business to get back to positive comps for the company? 
Steven Lawrence: Yes. I'll start and Carl may jump in. But when we thought about this year, and I think we shared this on our last call, coming off the pandemic, having 2 back-to-back double-digit comp years, we anticipated '22 was going to be kind of a year of reset. Thought we'd get back to growth this year. Clearly, the thing that is challenged this year is the customer is under pressure. So we feel like we don't have a challenged strategy. We've got a challenge customer. So the things that we've been focusing on as we move forward is managing through the short term, making sure we're delivering against the things customer is looking for. Customer is voting for value. So we're delivering value in a couple of different ways: first, our everyday value proposition; second, the promotions that we run during key time periods during the year; and third, the clearance events that we run at the end of each season. And then on the other end of the spectrum, we're seeing customers gravitate towards newness. So we're also focused on delivering a steady diet of new brands and new ideas.
 That being said, another drag in our comp has been our outdoor business, which, through the first couple of quarters, was down double digits. We've seen that business start to get better as we started lapping softer comps. And so, I think as we move into next year -- and you're right, we're not ready to give guidance for next year. I think the focus on value newness, leaning into our initiatives longer term in terms of opening new stores, the growth we think we have in dot-com and getting more productivity out of our existing base of stores, we think all of those things are the key ingredients to returning back to positive comps. That being said, when the customers' health turns around a little bit, that we can't determine. What we can focus on are the things that are within our control, and that's what we're focused on. 
Earl Ford: Yes, Brian, the only thing I would add there to the initiatives that Steve walked through, there's a big comp sales waterfall embedded within them. He mentioned new stores and omnichannel. I would also say the customer data platform, we got it up and running in July. We're running a lot of tests associated with it. They're positive out of the gate. I think as we ramp our maturity, working with the tool and getting more customer data, I think that's a tailwind for a long time. 
Brian Nagel: No, look, that's very helpful. Then the second question, again, I know we're dealing with a very fluid demand backdrop in a relatively short amount of time. But as you look at your business, particularly relative to all the internal initiatives you've done with merchandising, are you capturing -- do you think you're generally capturing share across the board? Or are there parts where you potentially could be losing share here? 
Steven Lawrence: Yes. Listen, we look at market share first on a broad basis, and we look at it over a longer horizon than just a month or a quarter. When we look at it on a yearly basis, we know we're picking up a little bit of share. When we look at it on a longer-term basis, we're very happy with that. If you look at our sales versus 2019, we're still up about 25%. So broadly, we believe we picked up a lot of share over the past 4 years, and we're holding on to that share. Beneath the surface, there's always puts and takes here and there. But we believe we've picked up share and are holding on to it. 
Operator: Our next question comes from Michael Lasser with UBS. 
Michael Lasser: With your gross margin down 44 basis points, how are you looking at the need to continue to make these types of discounting and other promotional investments in order to drive the top line? 
Earl Ford: Yes. From a gross margin standpoint, you referenced the 44 basis points. I would hearken back to kind of some of the structural improvements that we've made. We're up about 500 basis points to FY '19. I think about the early initiatives that we talked to you about around power merchandising and the things that we've done there have a lot of lasting power, and I just want to run through some of them. We exited a bunch of categories that weren't really synonymous to sports and outdoors, toys, luggage, electronics. We implemented season codes, systemically driven clearance, life cycle management. We really optimized buy and overall inventory management with a pretty upgraded open-to-buy process. We've made allocation, replenishment, system enhancements, and those are learning. They continue to get better and better. Pricing, system updates with reg price optimization, I really feel like we've done a good job there. And then to your last point, just managing promotions, but managing them from a position of inventory strength. And so, the 50 basis point decline was really driven by planned promotions and our customer gravitating towards that value side of our offering. It was included in our guidance. We are going to continue -- like we're an everyday value provider. So you're going to see value every day. We're really only going to promote during those key shopping moments, and we've embedded that within the guidance. And so, I do want to reiterate, our fourth quarter gross margin last year in the fourth quarter was 32.8%. The high and the low range that we put out there in this guidance, on the low, it's a little bit worse than that. On the high, it's a little bit higher than that. We're planning on promotionality, and we've got some tailwinds with the supply chain costs. 
Michael Lasser: My follow-up question is, as you look to next year, how much more room is there to reduce SG&A without impacting the customer experience? And how are you thinking about that in the fourth quarter? 
Earl Ford: Yes. I won't get into next year's guidance, but I will say, from an expense standpoint, this third quarter SG&A was up about $3 million to last year. That was -- more than that was our strategic investments around new stores, omnichannel, customer data, supply chain. We're flexing our variable costs really well, and we kind of keep a gauge on that by looking at our customer satisfaction scores, and we continue to be really proud of those. So if you think about the long range plan that we put out there, we had about 200 basis points of deleverage in SG&A along the span of this. Now, that was offset by gross margin improvements, largely driven by supply chain. The guidance implies about 200 basis points of SG&A deleverage in this year. The fixed cost deleverage associated with the sales is the issue right now. We remain committed to those strategic investments, and we're flexing in a healthy way in our variable. And our customers is telling us they're still happy with our performance. 
Operator: Our next question is from Will Gaertner with Wells Fargo. 
Frederick Gaertner: Just wanted to touch on, first, the lower free cash flow assumption. It looks like you've cut it by $100 million, reduced CapEx by $25 million, reduced [ PBT ] by $38 million. Can you elaborate on that reduction? 
Earl Ford: Yes, absolutely. From a free cash flow standpoint, your $100 million at the low is correct. The bulk of that is the reduction in the overall net sales on the low end. There are some timing things that come into play associated with year-end, and that made up the balance of it. Will, I do just want to reinforce, if you look at our Q3 cash flow from operations, we're up 13% to last year on down 6.4% sales. Year-to-date, on sales down 6%, cash flow from operations is down 2.6%. We really feel good about our cash flow as a rate of sales. On the investing side, on what we're committed to, it's new stores, it's omnichannel, it's customer data, and it's supply chain. We think done well. We will have no regrets investing into those 4 initiatives. So inventory management stays really good. You cannot manage your cash flow without that. We're really proud of our merchants in the open-to-buy process. But the leading causes for the decline are really sales top line in nature and then just some year-end timing stuff. 
Frederick Gaertner: That's great. And just one more for me. Just can you -- I know you hit on this a little bit, but this customer data platform, what benefits are you beginning to see? What benefits are you expecting to see? And how does this -- I know you talked about the benefit in comps. But will this also benefit merch margins? And if so, how? 
Steven Lawrence: Yes, I'll take that one. So how we've likened this before is in the past, we had pretty blunt instruments to understand what was going on with our customer file. We had data in a bunch of different places. We couldn't always tell same customer shopping us online and in store. So we installed our new customer data platform in the second quarter. And now, what we have is a holistic view of our customer. We started doing some preliminary work around segmentation. And so, now what we can actually see is we're looking at it on a weekly, monthly, quarterly basis is movement even within segments. So in some cases, we can see certain cohorts within a certain segment maybe spending a little bit less per trip, or we can see other cohorts maybe shopping less frequently. And so, what we started testing is different triggers to get them to react differently. So what I talked about on the call was we had one test with some of our best customers who -- maybe their spend was down a little bit year-to-date, to try to incent them to up-spend. In another case, we had some customers who were shopping a little less frequently. And the goal was to get them to make one extra trip. And in both those cases, they're small cases -- use cases at first with our tests, but we saw an uplift in sales and we saw the behavior that we triggered with promotion continue after the promotion. So longer term, what we would see is this can be a much more robust tool for us to use across all of our different customer segments.
 From a margin perspective, I think what it's going to do is it's going to make us a lot more precise and targeted with our markdowns versus having broad-based promotions. I think you're going to see a continued pull-back on that and more focused, targeted promotions that are individualized to the customers. So I'm not sure there's a huge margin uplift from it, but we do think there's an offset by pulling back on company-wide promotions to fund those targeted promotions. 
Operator: Our next question is from Robbie Ohmes with Bank of America. 
Unknown Analyst: Hi. This is [ Mattie Chick ] on for Robbie Ohmes. Just first, can you talk about how Black Friday looked compared to your expectations? You said one of your strongest ever. Are there any categories to call out that performed well for Black Friday? And are you expecting holiday to be concentrated around the big buying events like Black Friday, Cyber Monday? 
Steven Lawrence: Yes. So I'm not going to get too granular in terms of category performance. What I will tell you, and I said this in the prepared remarks, is what this year feels like is kind of a return to kind of pre-pandemic shopping patterns. We saw the customer, as we came in October and early November, moderate spending and wait for the discounts. And then, as I said on the call, the event was one of our best events we've ever run. So that can give you a sense of how good it was. That being said, there's still a lot of time before Christmas. And so, we're excited about the momentum that came out of that event and that we've seen continue into the early part of this week. But it's way too early to make the call. We still got about 3 weeks before Christmas. And as you know, this year, there's 1 extra day between Thanksgiving and Christmas. That gives us 1 extra weekend. And so, we do expect at some point, there will be a little bit of a lull that creeps in after we get past this week. And we expect that last week to be really strong. So, yes, we think that the behavior we've seen happen all year of the customer aggregating their shopping around these key moments will continue. Fortunately, we've got the biggest moment of the year ahead of us, and I think we've really prepared ourselves for this. Our inventory is in the best shape it's been in all year. We've really been thoughtful about how we've constructed our promotional cadence and our marketing cadence. And I think we're really well prepped to have a great holiday season and to take advantage of the customer who's willing to be out there and shop. 
Unknown Analyst: That's helpful. And I just also wanted to ask a question on the hunt business. What were the trends you saw in 3Q? Are you seeing any stock up or surge behavior? And do you expect the hunt and ammo momentum to continue through 4Q? 
Steven Lawrence: Yes. We talked a little bit about this in the prepared remarks. Definitely, that business has been one of our more challenged businesses. Through the first half of the year, it was down, I think, in the mid-teens. We certainly -- it was -- kind of it performed down in the mid-to-high single-digits in Q3, which would imply it got better than the first half trend. And if you track it through the quarter, it definitely got better towards the end of the quarter, both in the major categories of firearms and ammo. It feels like we're starting to lap some softer comps. If you remember, we talked a lot about different surge activities that happened last year and certainly through the pandemic. It feels like we're lapping a lot of those, and the business is starting to get more normalized. And our belief and hope is that, that business will start to stabilize from this point forward. 
Earl Ford: Mattie, one thing I'd add there is, it was a little bit warmer than average. And so, that hunter that likes to get outside and mess with his lease prep activities and get ready for deer season didn't see that amplification. And now that it's gotten a little cooler here, we're starting to see that turn on a little more. 
Operator: Our next question comes from Anthony Chukumba with Loop Capital Markets. 
Anthony Chukumba: Just wanted to get an update on some of the product newness. I know you guys have been excited about some of the new products that have come in recently and have been expanded like the OOFOS recovery sandals and Bogg Bags and Birkenstocks and Shadow Systems. So I just wanted to see if you have any update there. 
Steven Lawrence: Well, you listed a couple of them, Anthony. Thank you. Certainly, what we've seen this year, and we talked a little bit about it that the customer is gravitating towards newness. So the categories you talked about are all categories that we were well positioned in for this holiday. We've seen them continue into holiday. Other areas, we talked about our outdoor grilling business being really strong. There's certainly a trend being fueled there by Blackstone and that flat grilling. That continues to be a great category for us. We talked in our last call about the addition of L.L.Bean, so we're really excited about that and the addition to that to our assortments for this holiday. And when you think about it, that product is really strong in kind of fall, heavier weight products, so the weather is getting right for that right now just in time. So we're excited about that. But, yes, generally, across the board, newness is working for us. You called out several of the brands, and there's other brands out there that are also working. 
Anthony Chukumba: Got it. And just one quick follow-up on newness. Any update in terms of potentially getting on [indiscernible] for the footwear business? 
Steven Lawrence: At this point, it is not in our plans in the next year. We continue to talk to them and work with them on getting access to those brands. But at this point, it's not on our road map. That being said, we've got a lineup with the best brands in footwear. We've got a premier position with Nike, who's our biggest brand across the total company, as well as in footwear. Strong businesses with brands like Adidas and Under Armour, new brands like Birkenstock that you mentioned. HEYDUDE doing really well for us. Crocs doing really well for us. Brooks doing really well for us. So our goal and what we're focused on is winning with the brands that we have and being very successful with those. 
Operator: Our next question comes from Chris Horvers with JPMorgan. 
Christopher Horvers: So my question is on the strength that you saw at the end of October and quarter-to-date. I guess, how much of that do you think was helped by the Rangers-Astros World Series? Is that something that we need to contemplate as we look to the back half of 2024? And as you think about the guidance for the fourth quarter, can you share anything about what's going on quarter-to-date? It seems like you're bracketing about a down 6%. Are you trending in line with that? Are you expecting that extra day and that late surge to get you to that level? Anything there would be really helpful. 
Steven Lawrence: Yes, I'll answer the second part first. The performance we've seen quarter-to-date is embedded in the guidance that we gave. And I'll refer you back to the commentary I gave you around November and Black Friday, and you can make inferences from that.
 In terms of the Astros versus Rangers, believe it or not, it actually was more of a negative to us than a positive to us. If you look at our store count and what the Astros mean as a percentage of our business and license relative to the Rangers, the Rangers business is smaller. So lapping the Astros World Series last year with the Rangers was actually a negative to our sales trend early in the month. 
Christopher Horvers: Got it. And as you think about the hunt business, it's really been such an indicator of the overall trend in the business. You think about the start of rifle season for deer in November 1 in Texas, obviously a big event. Carl, you talked about some shift of the weather. As you peel back what you saw over, let's say, the past 2 months, how confident are you that, that business is actually bottoming? Because it's sort of easy to focus on, like, hey, here's what just happened when it got cold, and the season started and blamed the weather earlier. Like I guess, what's your degree of confidence and how is that different from the last time you spoke to us in August? 
Steven Lawrence: Yes. I think what I would tell you is this business is a cyclical business. It always has been, and it is sometimes driven by external events and impacted by those, maybe more so some of the other businesses we had. What we shared with you in the last call, which we also believe we're seeing right now is what gives us confidence that it's starting to kind of level out a little bit is that the volume is becoming fairly predictable on a weekly basis. If you go back, there were huge spikes in the last year, driven by external events. And as we got through this year, ammo on a weekly basis has settled into a pretty normal cadence. The firearms business has settled into a pretty normal cadence. So really, the negative comps we're experiencing wasn't as much about the fluctuation in this year's business as in the fluctuation in last year's business. As we get into Q4 and beyond, that starts to level out quite a bit, and that's what gives us confidence that it's stabilizing. That being said, it's going to have ups and downs, right? It's like any business that's driven by some external factors, but the kind of the noise in the last year is starting to die down a little bit. 
Operator: Our next question is from Oliver Wintermantel with Evercore ISI. 
Oliver Wintermantel: I had a question -- you mentioned the new markets and legacy markets in your prepared remarks. Could you maybe a little bit expand on what you learned there about the cadence of when you're opening the stores until maturity? And then, maybe add a little bit on 4-wall EBITDA? 
Steven Lawrence: Yes, I'll tackle the first part. I'll let Carl tackle the second. So we're now two years into our new store openings. We opened up 9 stores last year, 14 this year. I would tell you, last year, a lot of the stores were weighted more heavily to new markets, and we tested a lot of different ideas. We were testing how do we do in a more urban, dense population versus a more suburban population. We were testing some different new markets. This year, we applied a lot of those learnings that we had from last year to this year's new stores. When you look at the 2 years of vintages that we're seeing, and we called this out on the call, the stores that are within kind of our core geography or footprint, where we've had existing stores for a while, get off to a much faster start, and they're beating or surpassing the plans that we put out there. On the flip side, as we go into a newer market, maybe in the Northern Midwest, in Indiana or maybe even Illinois, starting out a little bit slower. But when we go back and we look at historical ramps, and one of the things that's also a little tricky is some of the new stores opened from '15 and prior have some effect of the pandemic in them, right, in the later years. So we're trying to go back and look at ramps before that to see what that curve looks like. You're seeing those probably have a slower ramp. And so, we wanted to call that out just to give you guys some color around that. And certainly, as we get into 2024 and give guidance, we'll give you, hopefully, a better idea of how we're seeing these new stores ramp and give you a little better guidance around that. 
Earl Ford: Yes. And I'll take the EBITDA. I think, similar to what Steve talked about, within our markets where there's high brand awareness, EBITDA rates are higher even in year 1 versus in other markets where the brand awareness isn't as high. We've had to invest a little bit more from a marketing perspective for that local customer to get to know us. The things that we talked about, positive EBITDA as a cohort in year 1, we saw that still committed to a ROIC hurdle of 20%, learned a lot coming out with FY '22. I'll just reiterate some of the commentary that we talked about, tested a lot of new things, went into 2 new states, did our first retrofits as a company. We've done build-to-suits historically for as long -- even before Steve and I were here. Tried some new things, learned a lot. Feel like the FY '23 are benefiting from those learnings. And we'll update you more in March. 
Steven Lawrence: Yes. To Carl's point, one of the things I left out at the end is we're actually seeing the '23 vintage get off to a faster [ cycling ] point too because we applied those learnings. So what's really interesting is some of these newer markets, actually over Black Friday, were some of our best markets. So, that gives us a lot of confidence that people are trying the brand who maybe hadn't tried it before, and that is starting to break through a little bit. 
Oliver Wintermantel: I just had one follow-up. There was a previous question about the reduction in CapEx to $175 million to $225 million. It looks like the cadence of store openings in the fourth quarter stays the same. Is that CapEx reduction -- are you signaling something about next year's store openings cadence? 
Earl Ford: No, not at all. This has more to do with when we revised our guidance, any discretionary expense we pulled out, any discretionary capital we pulled out, we've been efficient. I'm going to reiterate our commitment to those 4 kind of initiatives that we talked about. From a new stores, omnichannel, customer data, supply chain standpoint, there's been -- none of that CapEx pull-down has anything to do with that. It's just we're getting closer towards the end of the year. I'm willing to refine kind of our guidance range, just like we did on the top line and EPS. It's just coming in at a little bit lower. 
Operator: Our next question comes from Daniel Imbro with Stephens. 
Joe Enderlin: This is Joe Enderlin on for Daniel. Just kind of piggybacking on the last question there, could you give any additional color on what early learnings you're taking from the 2022 vintage to the 2023 one that you think are driving the most improvement within those stores? 
Steven Lawrence: Yes. I would say there's several. Carl hit on one. We went in with a marketing plan in terms of how we're looking at the new stores that were both in heritage and new markets. And there's probably more distortion that we need to make. We probably can spend a little bit less in the heritage markets, a little bit more in the new markets to drive a little more brand awareness. The last 2 vintages have been more back half loaded. We're seeing stronger performance in stores that open up in spring. So we think moving more into the first half of the year is the right thing to do. So you're going to see us start slowly moving to have a better balance across the years, having a better balance between new markets and existing markets, having a better improved localization strategy. I think we've done a lot of work over the past 4 or 5 years in terms of being smarter about our localization strategy. But even as we're opening up some of these new markets, we're having even more learnings. We opened a store in Florida, and we gave it our best assortment of saltwater fishing, and we thought we were giving it an A+ assortment. Then, as we're down in the market, looking at it, found that we probably need to do even more than we're doing. So now we built an A++ assortment, and then we're going to use that to apply to all the Florida stores that we opened on the Gulf Coast going forward. So it's an iterative process. We're taking the learnings from each one and applying to the next. It's broad-based across merchandising, across marketing, across operations, across how we inventory the store. I can just tell you that each one is getting better and better, and that's our expectation as we move forward. 
Joe Enderlin: Got it. That's helpful. Just as a follow-up, warmer fall weather seemed to influence sales across the industry. Does this influence how you look at the sales opportunity in 4Q at all? Do you think that initial deferral of cold weather items in 3Q could be made up in 4Q to any extent? 
Steven Lawrence: Yes. That's -- the big question is if it gets cold, how long it stays cold, et cetera. I think one of the things that we're happy about is that our inventories are under control, right? And candidly, it feels like the industry is in a better place today than maybe it was a year ago at this time. And so, we saw promotions elevate a little bit over Black Friday but still seem well within control and lower than where they were pre pandemic. We've got, obviously, increased promotions built into our forecast moving forward. But I don't think we're counting on a big return of business that was missed. But I also don't think we have an overhang of inventory that we're going to have to address or deal with either. 
Earl Ford: Yes. And the only thing I would add there is that supply chain normalization, it might not be between Q3 and Q4, but it might be intra-quarter where parents might have been buying a holiday gift and they bought it early because they were worried about it being there. I think the consumer is confident that at least looking at our inventory position, we're going to be in stock more frequently. And so, I think some of that stuff that may have occurred in the third quarter and yesteryear, a parent or someone will have more confidence buying that closer in. 
Steven Lawrence: I think when you look at our business, candidly, Q3 is usually a wildcard, right? In our geography, it can be warm, occasionally get a cold snap in October. It helps out a little bit. Generally, our geography gets colder in Q4, and it's been fairly consistent year-over-year, and that's when we sell the bulk of our seasonal products. And so, I think we're going to see that same pattern hold true this year. 
Operator: Our next question comes from Simeon Gutman with Morgan Stanley. 
Jacquelyn Sussman: This is Jackie Sussman on for Simeon. Just on the 34.5% gross margin for the quarter, I think you mentioned in your prepared remarks, shrink. How are you handling shrink relative to prior quarters? How has it evolved throughout the quarter? Are things getting sequentially better? And anything to call out in terms of Q4-to-date on that would be really helpful. 
Earl Ford: Yes, Jackie, that's a good question. Shrink was a big topic of discussion in the second quarter. We still see it as an issue. Our shrink rate was up 12 basis points to last year in the third quarter. And when I talked about some of the muting of the tailwinds from freight, shrink is in play. Look, I don't think -- we do year-round -- we talked a little bit about this at the last quarter. We do year-round physical inventory. So we started to see shrink pop in the third quarter of last year. We were up 36 basis points in shrink in the third quarter of last year. So this is 12 basis points on top of that. It's better than the second quarter and way better than the first quarter trajectory. But I do think it's because we got an earlier read on this and began to react to it maybe just a little bit quicker.
 I'll walk through some of the things that we're doing without getting into kind of too much detail associated with what we're doing. We've made investments in the team. We've made investments in internal analytics to help us see patterns, both internally and externally quicker. We've done a number of technology solution tests and subsequent rollouts really beginning in the third quarter of last year. That aids on the prevention side as well as on the detection side. We've got really strong partnerships with local law enforcement. So, on the detection side, the things that we can do to aid them, like they don't like seeing this happen, and the tools that we can help them with, they appreciate. We've seen sort of from a federal standpoint, over COVID, there wasn't as much federal participation in kind of like these local organized crime rings that we were seeing. I feel really good about what we're doing. We've led a couple of those discussions here, and we talked about one of the ORC busts that we saw in the Houston area. That was a long-running thing earlier. And lastly, we don't want to lock up all of our product. We don't want our customer to have a negative experience. But we test and we learn a lot. So we've done some test and learns with some baseball equipment that made a lot of sense. And we put the customer call button right next to where we might use a peg lock for an expensive glove, the A2000 specifically and some of the bats. That business is turning on so well associated with those premium baseball bats. We want to make sure that, that inventory is there for the customer when they come in. So, that big mix of things is what we're doing. But it's a retail-wide problem. It's a nationwide problem, and our shrink rate was up 12 basis points this quarter. 
Steven Lawrence: Yes. I'll just emphasize one point that I think was embedded in what Carl said. Probably one of the best things that we can do to help combat this because, he's right, it is a problem that everybody is facing, is to staff our stores and make sure we've got people there who are helping out the customers, who are around. And that's something we've been committed to, and I think that's been a help as we've been navigating some of these shrink trends that people have been fighting against. 
Jacquelyn Sussman: Got it. Super helpful. And speaking of staffing stores, as you start the holiday season, are you seeing just any pressure on wages or labor hours? How are we thinking about that in terms of potential SG&A spend in the quarter relative to your pre-COVID trends? 
Steven Lawrence: Yes. Certainly, if you look at our hourly wages versus pre-COVID, pre-pandemic, they're up for everybody. We feel like we've done a really good job of keeping pace, if not maybe doing a little better in terms of the increases. We're not having any trouble getting help candidly. We've got a really good energized team of people that are out there. We feel like we're appropriately staffed. But yes, definitely, wages are up versus where they were pre-pandemic. 
Operator: Our next question is from Seth Basham with Wedbush Securities. 
Nathan Friedman: This is Nathan Friedman on for Seth. I think you mentioned that your average ticket was trending higher year-over-year in this quarter. And I know that you mentioned being more promotional and having some higher clearance. But just curious what kind of trends you're seeing. Is there like any evidence of trade-down within your categories? Any color here would be appreciated. 
Steven Lawrence: I'll start with the trade down question. We haven't seen -- that's one of the things we talked a little bit about on the last quarter's call was last year -- last quarter, we thought we saw a little bit of trade-down from our lower end consumer into maybe a lower end retailer in terms of trip consolidation. We haven't seen that this quarter. Conversely, we also haven't seen any trade-down, we think, from other retailers into us. So I don't think we're losing customers. I don't think we're necessarily gaining any trade-down. That being said, one of the things that I think is helping us with that is, we've done a really good job over the past 4 or 5 years in regards to building out our better, best end of our assortment. So what that really allows the customer to do is to trade down within our store. So building out the higher end bats and gloves that Carl was just talking about, if a customer doesn't want to spend $300 or $400 for a Marucci bat, we have other options for them to trade to versus having to go to another retailer. So we think that's helping us on that front.
 In terms of AUR, average ticket, our biggest challenge was more traffic. The average ticket was basically flattish, up slightly for the quarter. We continue to see AUR growth year-over-year and over a multiyear period. We anticipate that that's going to continue. It's not huge. It's low-single digits. We think that will continue into Q4. And the promotional activity that we think is going to impact that, we have baked into our guidance. 
Nathan Friedman: And my second question is, you mentioned some things associated with supply chain and vendor allowances that offset 12 basis points of shrink this quarter. I guess that would suggest that your supply chain tailwind benefits may be slowing down as you start to lap these tougher comparisons. One, is that true? And second, how are you thinking about the puts and takes here in fourth quarter with supply chain and your tougher -- sort of tougher merchandise margin comparisons as well? 
Earl Ford: Yes, it's a good question, Nathan. So first and second quarter freight benefit was on around about 90 basis points each quarter, and we'll have more detail in our 10-Q. But in the third quarter, it's about an 80 basis point tailwind for us, so a little bit of lessening there. We talked about -- we didn't really start to see that benefit from a freight standpoint until the first quarter of this year. So we're expecting tailwinds within the forecast that we -- or the guidance that we put out there. We're expecting tailwinds from a freight standpoint in the fourth quarter. But I think what you're starting to see just beginning in the third quarter with that 10 basis point kind of drop-off, going from 90s in first and second quarter to 80 basis points in the third quarter, it's a tailwind, but it's beginning to lessen. But we really didn't start to see the full weight of freight savings until first quarter of this year. 
Operator: We have time for one more question. Our next question comes from Cristina Fernandez with Telsey Group. 
Cristina Fernandez: I wanted to see if you can clarify on the sales guidance, you kept the comp range within the prior range but lowered the total sales outlook. So is that performance of new stores, the timing or the 53rd week? Can you clarify why that's lower? 
Steven Lawrence: It was primarily a reflection of what we're seeing happening with the new store openings. We've had some -- we've lost some sales where they slid out a week or 2 here or there. So that certainly impacts a little bit. Also, what we discussed on the call in terms of the performance of kind of the legacy heritage markets, new stores versus kind of the newer markets, so that's the combination of those 2 things which drove that delta. 
Earl Ford: But Cristina, I will -- I saw some of the early print that came out associated with comparing our fourth quarter of this year to the fourth quarter of last year. I know all of you are aware of that. This is a 53rd week fourth quarter. There are 14 weeks of sales in it. That has always been in our guidance. But I saw some early reads, as I just looked at quickly, associated with like the amplification to last year's fourth quarter. I do want to remind you there's a 53rd week. 
Cristina Fernandez: Yes. And then the second question I had, with the sales coming a little bit lower, how are you thinking about inventory for the year? And related to that, with the consumer shifting more to value, does it make you change the buys you have, leaning more towards that lower-price and lower-ticket assortments, focusing more on clearance activity? Any color there on inventory and buy would be helpful. 
Steven Lawrence: Yes. I would say, one of kind of the strengths that we've shown, I think, over the past 4 years is strong inventory management discipline. I think that's continued through the past quarter. Inventories are flat on a total basis, down about 4% on a store-per-store basis from a unit perspective. So we feel like the inventory is in a good position on a [ TYOY ] basis. But we also feel like the content beneath the surface is much better than where it was a year ago in stocks, or the highest had been since the pandemic started. So we don't anticipate any sort of overhang of inventory coming out of the holiday.
 In terms of how we're structuring our buys, yes, the customer is gravitating towards value. We see that expressed several different ways. We talk a little bit about sometimes the private label mix. Private label business was a little better than some of our national brand business, which we infer as a flight to value there. So certainly, that's a growth initiative. We've talked about how over time, we want to grow that business from around 20% or 21% of the business to 25%. You'll see us continue to lean into that and grow that business. You'll see us continue to lean into our everyday value proposition and really highlight those and feature those in marketing. And you'll see us use promotions around the key must-win shopping moments on the calendar to make sure that we're driving traffic into our store and winning that driveway decision. And then at the end of the seasons, clearance is another way to deliver value. So all those things are parts of our playbook. We're definitely leaning into them at the appropriate time to deliver value to the customer. We think our position as a value leader in the space gives us a really good position to be in as the customer is under pressure.
 Okay. So, that was our last question. I just want to say from a recap perspective, our approach over the remainder of the year is going to take the appropriate actions to navigate the short-term softness in customer demand with really a focus on delivering new and innovative products, offering compelling value in order to help our customers stretch their holiday budgets, while also thoughtfully managing expense and inventories.
 On a longer-term basis, we believe we've got a unique concept that resonates with active young families. We believe our model is scalable and transportable, and we're going to continue to make investments in our future growth so we can enable more people to have fun out there by shopping Academy.
 In closing, I want to thank all 22,000 of our Academy associates for all the hard work and effort they put in and will still put in this holiday. Our employees are kind of a key ingredient of our secret sauce. And I know that every one of our team members is going to give it their best during Q4 and in the future.
 So, thanks for joining us today, and have a great holiday, everybody. 
Operator: Ladies and gentlemen, this call has now concluded. Thank you for your participation. You may now disconnect your lines. Thank you.